Operator: Ladies and gentlemen, welcome to the publication Full Year Figures 2024 and Annual Report 2024 Conference Call and Live Webcast. I'm Moritz, the Chorus Call operator. I would like to remind you that all participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] At this time, it's my pleasure to hand over to Christoph Nanke, SVP, Head of Finance at IR. Please go ahead, sir.
Christoph Nanke: Thank you, Moritz, and warm welcome from my side. I have with me in the room Stefan Schulte, our CEO and Matthias Zieschang, our CFO. I know you have a lot of questions, but before that, we start with the presentation right now. Please go ahead, Stefan.
Stefan Schulte: Yes. Christoph, thanks very much. Good afternoon, ladies and gentlemen, and a warm welcome also from my side. Let me start my presentation today with a positive message. Despite a challenging environment, we achieved our financial and operational targets in the past fiscal year. So, we achieved an EBITDA in the middle of our guidance range and a net result in the upper area of the expectations. Moreover, despite heavy investments, we achieved a stable leverage ratio, which is still quite, there is no question, but at least as expected. What have been the main challenges that we are facing? Firstly, our main customer in Frankfurt, Lufthansa, is still waiting for its new wide body aircrafts, currently more than 40 long-haul planes are induced which were already meant to be replaced by new modern aircrafts focusing on last year only Lufthansa expected the delivery of 15 new Boeing 787. As of today, none of these planes are flying Frankfurt or have been even delivered. Additionally, the maintenance of the Pratt & Whitney engine exposed shortfall aircraft reduced our Frankfurt capacity by about 3% to 4% last year and probably likewise this year. But there are some positive signals that the 787, 10 to 15 could achieve could come to Frankfurt somewhere in the second half of this year. The new 777, I would not expect to come this year and even probably not from today's point of view in the year 2026. Also, from a political perspective, we faced a challenging environment in May last year. The German aviation tax was raised another time, making Germany one of the most expensive countries to operate worldwide. This year, the German state has further increased the security costs to be paid by the airline as well as the air navigation charges. Besides these cost items, 2025 also marks the first year of the mandatory SAF quota, so sustainable aviation fuel, applicable in the European Union. That's not really the topic. The topic is plus an additional power to liquid rate mandatory for flights departing Germany, so called gold plating in Germany another time. Ladies and gentlemen, these burns are very high. Correspondingly, the German aviation industry is lacking the speed of recovery seen in other countries. The BDL, the German Aviation Association, for example, estimates that airlines flying Germany will have to pay about EUR1.2 billion higher state related charges this year for 2025 or roughly EUR11 per departing passenger on average. Considering the airline margins, this is a very high incremental burden. I'm convinced that Germany has to regain competitiveness and we address this to the new government or probably upcoming new government very, very clear. So there's some point of chance, some point of optimism and I hope that we will be able to deliver to tell you what's going on in the next call. Despite these strong headwinds, we are happy with the results we delivered this morning an all-time high EBITDA of EUR1.3 billion and a group result of more than EUR500 million close to the record level of 2018. More financial data later for Matthias, who will also guide you through our segments. Looking back at our operational performance in 2024, I'm on Slide 4. The traffic results illustrate very much what I just said. Frankfurt is impacted by external factors. Everything I just mentioned before and it's not just Frankfurt's Germany overall. So we are on a recover rate on 87% with an increase of plus 3.7%. A better traffic performance we are seeing in our international portfolio, the group airports outside of Frankfurt have, in the meantime, fully recovered 2019 level on average. This is even more impressive keeping the temporary closure of Porto Alegre Airport due to the heavy flooding in mines. The key driver for the passenger growth on our group wide basis was our investment increase at 120%. Properties clearly outperformed 2019 and was adding another 6% to the already high previous year base. So very strong development, which we expect to continue this year. Maybe on a somewhat lower level, we have to see, but the demand for Greece is still very, very positive. Following the political unrest at the beginning of 2023, Lima Airport has caught up on the lost traffic in 2024. At 104%, Lima passengers numbers exceeded the 2019 benchmark and we do expect 2025 to be another good year of robust growth in Peru. Staying in LatAm, Fraport Brasil, on the other side, recorded a mixed development while Fortaleza achieved year-on-year passenger growth. Porto Alegre was strongly impacted by the temporary closure of the airport due to the heavy flooding in May. But in Q4, the airport fully reopened and we do expect it will take a few months until the airlines restore their capacities.
Wizz Air fleet: Looking now forward to the upcoming summer season in Frankfurt, I am on Slide 5. Despite persisting challenges from high location costs and continued low supply of aircrafts, we expect a turning point in our Frankfurt traffic momentum. While the start of the year in January and February was still comparatively weak, we expect to see some traffic momentum from March and then further on in the year onwards. The traffic momentum will be predominantly driven by Condor, which is our second biggest customer in Frankfurt. Condor needs to strengthen its feeder networks of preliminary short haul routes as Lufthansa has changed the feeder agreement between the two carriers. The result of these changes is shown on the chart. We expect traffic growth this summer in the area of 4% to 5% seat capacity mainly driven by Condor. Outside of Condor also, EasyJet will bring new capacities and traffic also Frankfurt. As you know, EasyJet is a remedy taker and the Lufthansa ITA transaction correspondently, Lufthansa needs to support competition between Frankfurt and Italy and granted to daily services from Frankfurt to Rome and to daily services from Frankfurt to Milano Linate to EasyJet. Regarding Lufthansa, we don't expect the Pratt & Whitney engine issue to be solved this year nor do we expect positive effect on the potential certification of the Boeing Dreamliner this summer. And having said this, the 4% to 5% capacity growth largely comes without Lufthansa. We however expect Lufthansa to come back into the growth mode this winter, latest in summer 2026 when the fixing of the Pratt & Whitney engines is coming to an end and the Dreamliners will be fully into service finally. Now, coming back to our own homework on Slide number 6, we see ourselves on track with our major expansion programs. Let me start here with the new terminal at Lima Airport. As you know, the opening of the new terminal was postponed yesterday. Exactly this night, we are now working closely with the local authorities to clear the remaining steps and to determine a new opening date. We will provide you with an update shortly. To be precise, there's nothing wrong with the new terminal, which is almost 100% completed. So new terminal is a very fine infrastructure with modern state-of-the-art retail outlets also the retail outlets are finished. It's a wide terminal with lots of space for passengers. And as mentioned with our Q3 publication already, our IR team will provide you a deep dive on the new terminal and walk you through the highlights after the terminal opening. I can just say the topics around the further delay seems to be landside access topics responsible by the state and maybe also some unrest we have seen today after murdering of a singer in Lima, singer in some state of emergency. But we will give you an update as soon as we have more information what's going on there, because the terminal is fully ready and it could be open immediately. But if we have to delay it some weeks, then that's a decision by the Peruvian government. Moving on to Antalya, over the past three years, the team has made tremendous progress to fulfill the investment as set out in the concession contract. In mid of April now, we will open the new terminal around the April 12th most probably and will from there on be able to handle up to 65 million passengers, an enormous capacity, which will place Ontario in the top 10 airports of Europe. Despite the big capacity addition, we will prove to be right last year. As I mentioned before, Antalya handled about 38 million passengers, an all-time high figure. Despite this great result, the airport still misses about 4 million to 5 million passengers from Russia and Ukraine when compared to 2019. And we all hope for peace in the region and so far Antalya is very well positioned and we expect to see continued good traffic growth over there. Following Lima and Antalya, we will complete the terminal construction in Frankfurt in the second half of this year, most likely in October. With these three investments, we will complete our major CapEx program this year, which we initiated with the groundbreaking ceremony in Frankfurt exactly 10 years ago, so somewhere after Eastern 2026. Going on to Slide 7, our Frankfurt Airport. We are really focusing there on customer satisfaction with projects such as a rollout of new CT security scanners in Terminal 1 and new automated check-in counters. In addition, we are working on AI initiatives to increase the efficiency of our operational processes with a clear focus on punctuality and also to improve our financial performance. A few projects such as AI supported turnaround processes or the intelligent dispatching agent as well as our well advanced and will be rolled out up to end of this year. Fascinating to see how AI can support us in our daily business and we are very much looking forward to make use of this. On the other side, we decided to stop individual projects such as the security relocation in Terminal 1, Concourse B, after the review process, but we will bring in Terminal 1, Concourse B on the East Side, CT scanners, so that even there the processes are much quicker and so with a better customer satisfaction and that's much earlier being realized in the relocation of security lanes in general. Moreover, we extended the planning phase for the Terminal 2 modernization like this. We have clearly reduced the near-term CapEx needs as a result in the upcoming two years and we have a strong improvement in free cash flow and will bring back the free cash flow into a clearly positive three-digit million EU area. So progress we also made regarding the tendering of the new Terminals 3 retail areas on Slide number 8. The positive message is first, all retail slots have been awarded in a short period of time. Therefore, we'll grow of Frankfurt retail areas as expected by about 12,000 square meters with the opening of Terminal 3. The new marketplace in the Nanjing area is the heart of Terminal 3 retail area. It's structured in a way to suit all of our customers' needs ranging from kid stores to fine dining opportunities. The centerpiece of the marketplace is a very nice bar with numerous seating opportunities to join and enjoy the vivid atmosphere, while also seating areas with an apron view will be provided. Besides new modern concepts, in particular, the central security lane in front of the marketplace will offer our customers an improved customer experience compared to Terminal 2, where we are currently working with decentralized security checks in the Nanjing area. What does the new retail offering mean for our financials? On Slide number nine, compared to the current setup in Terminal 2, we expect an increase in retail revenues of roughly 50% compared to Terminal 2 by 2027, which is the first full year of Terminal 3 operations. Please keep you in mind that Terminal 3 overall can generate even more retail revenues. In 2027, we don't expect the terminal capacities to be fully utilized, so that over the time, the Terminal 3 retail sales will further grow. On the slide, you see a rough split of the terminal capacity. In the long run, Terminal 2 will come back into operation and will start generating retail revenues again, but also Terminals 3 will offer further capacities on its modular peers, but that's quite long-term from today's perspective. Regarding the transition phase next year, we also keep in mind that we expect the opening of Terminus 3 after the Easter holidays. Therefore, 2027 will be the first quarter with Terminal 3 in full operation and the airlines will be shifted from Terminal 2 in a staggered approach. Before talking too much about 2026, let's have a look at our expectations for the current fiscal year 2025. I'm on my final slide. Frankfurt passengers, we expect to grow this year, but remain below 64 million. In percent, this represents a growth rate of below 4%. And that depends very much on the question at what time which aircraft are coming in and whether they are adding capacity or replacing other aircrafts. And so it could be in a range between 2% to 3% maximum up to 4% but more 2% to 3%. As discussed before, in particular, the phase-in of the new Boeing terminals Lufthansa remains a factor, which we cannot fully assess at the moment. Moreover, we continue to be impacted by missing Pratt & Whitney engine aircraft. For the financial performance, we are facing additional unknown parameters, in particular, the new collective labor agreement for the majority of our Frankfurt staff hasn't been agreed upon yet. In financial terms, we are talking here about a tough cost billion of close to a tough cost bill of close to EUR1 billion. So it makes a difference, whether we see there a 3% or 5% or even a 7% wage settlement or even more as the unions request, therefore, we provided you a relative broad guidance range and expect a moderate EBITDA increase in the single-digit percentage area. For the group results, we expect this to be flat to down this year. Let me precise here, we incurred extra gains of more than EUR40 million last year from the disposal of our remaining shares in St. Petersburg. These gains are nonrecurring. Adjusted for St. Petersburg divestment, our group result will be more flat this year. As Matthias will talk about that in a minute, the net debt to EBITDA ratio will improve due to the positive EBITDA outlook and stable net debt. For the dividend, we currently expect no dividend payment for 2025 financial year to be distributed in 2027 and want to focus on reducing our leverage first. This could only change if we would have a lot of headwind, but really a lot of headwind by positive governmental decisions on the state costs like [indiscernible] aviation tax and if a lot of new aircraft would come into service, but it's not very much probable from today's point of view. So let's see whether we get all these headwinds then maybe the picture is changing a little bit. Having said this, I would like to thank you for your attention and now Matthias with more financials.
Matthias Zieschang: Yes. Thank you, Stefan, and a warm welcome also from my side. My first chart of the presentation shows our long-term development of passenger traffic in Frankfurt and group EBITDA. On Slide number 12, you see the development of the last year, so from 2014 until 2024. Reviewing the operational and financial performances shows a decoupling of our financial and operational metrics. While our Frankfurt passenger numbers just increased slightly compared to 2014, our group EBITDA recorded a strong increase of 65% compared to 2014. Certainly, the increase was mainly driven by our operations outside of Frankfurt, so our International Activity segment. Here, the majority of the EBITDA growth was generated by new investments like Fraport Greece and Fraport Brazil, but also the airports that were already part of our portfolio in 2014 like Lima Airport or Ljubljana showed organic earnings growth. On the other side, also our Frankfurt operations recorded an EBITDA increase compared to 2014. Despite a broadly stable number of passengers, the aviation segment, for example, showed a significant EBITDA growth of nearly 60% or EUR137 million. Therefore and despite the fact that Frankfurt Airport hasn't recovered to the pre-COVID passenger levels yet, the group showed overall good financial progress in the past years and marked an all-time high operational result today. Moving on to my most important slide of the agenda, our cash flow and net debt outlook for '25. As a starting point, as always, we take our EBITDA guidance as a proxy for our operating cash flow, so more than EUR1.3 billion of inflow this year. On this basis, we deduct the CapEx of roughly EUR1.1 billion that we have talked about for the past couple of quarters. Please note here that this amount continues to be spoiled by the major CapEx programs in Frankfurt as well as in Lima, which we will finish this year. So we will clearly reduce our CapEx burden in the next couple of years. Following the CapEx, we subtract another EUR400 million net cash interest payments and cash taxes. Moreover, we expect fixed concession payments and IFRS 16 lease payments in the amount of some EUR100 million. On the inflow side, we expect further positive cash effects from our associated companies and changes in net working capital of, in total, more than EUR100 million this year. All the individual components together add up to free cash flow this year, which is very close to breakeven. Please note here that this amount does not include the EUR100 million of inflows from the daily stake in divestment, which we received two weeks ago. As a result of the free cash flow outlook, we expect our group net debt to remain broadly unchanged compared to last year's level. The review of the past year's cash flow and indebtedness situation is shown on Slide number 14. The operating cash flow showed a very strong performance. At EUR1.18 billion the operating cash flow grew by 37% compared to the previous year. The increase was driven by both sound operating development and good working capital management. All else equal, the operating cash flow would have been sufficient to provide a strong positive free cash flow of EUR560 million excluding for the expansion CapEx in Frankfurt and Lima Airport. Including for those heavy expansion works, our free cash flow was negative at minus EUR675 million and therefore in line with our expectations for the year. Correspondingly, our group net debt figure stood short of EUR8.4 billion and our leverage ratio remained at 6.4 times. Both indicators were in line with our guidance. Our current maturity profile is shown on Slide number 15. Despite the negative free cash flow, our liquidity position remained at a high level of more than EUR3.9 billion or EUR4.5 billion including for unused project finance and committed credit lines. Gross debt on the other side amounted to EUR12.3 billion slightly up compared to the third quarter results. At 3.2%, the average cost of debt remained unchanged in the second half of 2024. Looking ahead, we expect to refinance most of the Frankfurt maturities this year. In addition, we will make full use of the Lima project finance this year due to the terminal completion. As a consequence of the higher cost of debt in Peru and the Frankfurt refinance, we expect the average cost of debt to slightly grow this year, up to a level of maximum 3.5%. Coming to our segment reporting, starting with Aviation on Slide number 16. The segment showed an overall strong earnings development due to the higher passenger number, but in particular, due to the 9.5% increase in Aviation charges. Security revenues also grew by roughly 10% but where balance was cost in more or less the same amount. Bottom line, the segment recorded a strong EBITDA increase of more than 21% to an all-time high of EUR374 million. Despite higher D&A from the write down of the security relocation project, EBIT was nicely up to $203 million. Looking ahead, we expect continued headwinds from OpEx inflation this year. While the price increases will support segment earnings development. Consequently, we expect a moderate growth of EBITDA and EBIT in the current financial year. Moving on to our retail and real estate segment on Slide number 17. Revenues grew by close to $40 million to $537 million. All business areas, so retail, real estate as well as parking, contributed to the solid increase in segment revenues. At EUR3.35 retail revenues per passenger also performed well despite continued closures on the land side in the Frankfurt terminal. Key drivers for the solid retail momentum were strong advertising revenues, which were, among others, supported by the European Soccer Championship in June and July an improved passenger mix, thanks to the China recovery and third an increased dwell time due to smooth and fast security processes. Parking and real estate revenues also grew nicely, among others, due to price effects. On the OPEC side, cost for maintenance services in ongoing projects, such as a refurbishment of the parking houses, turned out to be higher than initially anticipated. Therefore, our segment EBITDA only grew slightly to EUR375 million. For the year ahead, we expect revenue to be supported by passenger volume growth in the retail and parking divisions. On the cost side, we expect a continuation of the OpEx trend of the past financial year. As a result, we expect segment EBITDA to remain at about the same level of 2024 or slightly above. Coming now to our Ground Handling segment on Slide number 19. Q4 was no turning point for the segment. At a stable number of passengers, revenue growth was solely driven by price effects in the fourth quarter. On top of the operational development and higher cost of labor, we booked an EUR8 million staff related provision to reduce the headcount in the subdivision of the segment. Consequently, EBITDA in the fourth quarter was clearly negative and turned the full year results below the previous year. For the year ahead, we need to restore the financial stability. Therefore, we have already raised the central infrastructure charges by close to 8% and will further reduce the number of external staff. As a consequence, we expect an improvement in segment EBITDA, but still expect to remain in the negative area in fiscal year 2025. Key headwind for the segment remains a loss making Lufthansa contract, which we will have to renew open exploration in the next 12 to 24 months. Our final segment, International Activities and Services is performing clearly better. I'm now on Slide number 20. The International segment again showed a strong underlying earnings momentum. Despite the closure and gradual reopening of Porto Alegre Airport, revenues and EBITDA grew strongly on a full year basis. Key drivers for the revenue increase were our investments in Fraport Greece, Fraport USA and Lima airport. At the EBITDA level we recorded a very good results in particular bearing the following effects in mind. In '23 Fraport USA recorded a compensation for the early termination of the Pittsburgh master lease concession in the amount of roughly EUR11 million. Moreover, Fraport Greece was positively impacted by COVID compensations in the amount of about EUR34 million in the year '23, while in '24, Fraport Greece just recorded COVID compensation of EUR28 million so a minus of EUR6 million compared to the previous year. Additionally, the closure of Porto Alegre Airport and lower compensation payments led to a reduced EBITDA for Fraport Brasil of roughly EUR16 million. Looking ahead, we are confident that the International segment will continue its growth path also this year and will further increase its EBITDA and EBIT. Ladies and gentlemen, let me summarize our disclosure today. Our Frankfurt and International divisions reported good overall year-over-year earnings growth. Despite the challenging environment, we fulfilled all our group targets we set for the past year. Our group EBITDA clearly outperformed the pre-COVID level despite Frankfurt traffic remaining well and significantly below 2019. While the international airports will continue their volume growth in '25, we expect a positive momentum in Frankfurt as of this month or end of this month. Our major CapEx programs are coming to an end and we signed a major agreement on airport charges in Frankfurt to provide visibility on the development of our revenue side in the next four years or for the next four years. New CapEx projects are either stopped or postponed. Therefore, we consequently pursue our path to turn around our free cash flow. This year, we'll mark a first big step as we guide free cash flow, which is very close to breakeven or even breakeven, our breakeven target here excludes any extra gains from divestments. For the next year, we are confident to achieve a clearly positive free cash flow. Having said this, ladies and gentlemen, I'd like to thank you for your attention, and we can start the Q&A session now.
Operator: Ladies and gentlemen, we will now begin the question-and-answer. [Operator Instructions] And the first question comes from Ruxandra Haradau-Doser from HSBC. Please go ahead.
Ruxandra Haradau-Doser: Good afternoon. Thank you very much for taking my questions. Matthias, great to hear that you are continuing until 2028. It makes lots of sense for Fraport. My first question is on retail. Do you have retail contracts in Terminal 2 running out this year? And do you expect to prolong this contract until T2 will close next year? Second, in November, you indicated CapEx will be above EUR1.5 billion in '24. And on CapEx for FY'25, I quote, Matthias, we are working on a number which is below EUR1.1 billion as a group CapEx for 2025. CapEx for '24 was EUR1.7 billion and the guidance for this year is a CapEx of EUR1.1 billion and there are lots of questions from investors today about potential overrun. So could you maybe give some details on these higher figures I mentioned in November? Third, could you please update us on the Piers G? Will it start operations at the same time with the rest of T3? And have the retail areas been already rented in Piers G? And the final question, the new EU Commission has been in office for a few months. Do you have already signals and what are your expectations, Stefan, about the priorities in the aviation sector of the EU commission during the current legislative period? Thank you very much.
Matthias Zieschang: Thank you for your questions. Starting with CapEx. So, absolutely correct what you said, we guided EUR1.5 billion we ended up with EUR1.73 billion. So this is an overrun. Reason for the overrun was the EUR200 million what we always saw as a risk regarding T3. And today, we have to say that the overrun has been realized. So this is not good, but on the other side, it's over now. So looking forward, we do not expect any additional cost overrun regarding T3. So everything is fine. We are going to open after Easter holidays in 2026 and the rest of the CapEx is in line what years ago has been guided. So this is passed. Looking forward, looking forward means now in '25, you mentioned, we guided now EUR1.1 billion, I said, it will be below EUR1.1 billion. Let me say we have a discrepancy of perhaps EUR50 million and you can believe us or you are I think you are convinced that we are doing all to end up with a number which is shortly below EUR1.1 billion. But at the end of the day, to control the outflow for CapEx depends really what happened in the last two weeks of the year. And when I look back what happened in December '24, there was an outflow in a three-digit amount area. But at the end of the day, we have to see whether it's EUR1. 1 billion or a little bit less. Our target is always to realize a number which is below EUR1.1 billion. All retail contracts, there was a question regarding retail contracts, they are not running out. So everything is awarded and will continue in Terminal 1. Correct. Even I'm wrong.
Stefan Schulte: Terminal 3. So Terminal 2, the retail contracts will be finalized in end of second quarter, because the airlines will be moved from Terminal 2 to Terminal 3 in a staggered approach probably three or four ways in the second quarter next year. And then Terminal 2 will be taken out of operation. We have solutions with the concessionaires there. That's no problem, there's no further penalty or something like this to pay and all contracts regarding Terminal 3 are awarded and they are preparing for taking over then in latest up to April next year. So this is working on Terminals 3. Regarding Piers G, yes, we will start operations simultaneously with Terminal 3, but it will be mainly on the check-in side, land side. From today's point of view, no operation on the Piers itself because there we have enough capacity in the first step in Piers A aka Piers H and Piers J. On the priorities regarding EU Commission, the top priority stays with carbon leakage. There are a lot of professional advisors who are giving solutions to the EU Commission. Yesterday, I heard a study from Ernst & Young, which would help very much and that's a top priority from our side. Another priority is, of course, the question how it goes ahead with the airport and airline package on ground handling, on charges and on slots I think these are the three packages. The EU Commission is at the moment just investigating whether they should open those packages up or not. We expect probably somewhere by summer or late summer any further indication on the EU Commission, but these are the two top priorities from our side.
Ruxandra Haradau-Doser: Thank you.
Stefan Schulte: Thank you.
Operator: And the next question comes from Cristian Nedelcu from UBS. Please go ahead.
Cristian Nedelcu: Hi. Thank you very much for taking my questions. The first one, can you give us some initial indication on CapEx and free cash flow in 2026? The second one, zooming in on Fraport on Frankfurt, the midterm maintenance CapEx, so '26- '27 was roughly the midterm maintenance CapEx. The third one when Terminal 3 will open, could you give us ballpark what is the incremental OpEx you will incur Terminal 3 versus Terminal 2 in a full year of operation? And the last one, if you allow me, just on capital allocation, what is the pecking order midterm deleveraging dividend acquisition? Any color there? Thank you.
Matthias Zieschang: Regarding free cash flow. So, again, target in this year. '25 is breakeven and '26 showing clear and significant positive free cash flow. Driver for this is CapEx because, let me say, the EBITDA increase will be there, but this is not a big step up. This is also clear given the traffic momentum in the moment in Frankfurt. So looking now assuming the 1.1 or as Ms. Haradau-Doser said perhaps 1.05. We have to see at the end of the day. So this is a starting point for further considerations in '26. And you have to see that in '26 also the second expansion phase of Lima is over. So there's a further drop of the Lima CapEx, a significant drop as well as a further drop regarding CapEx for T3 because we are going to open after Easter holidays in 2016 and then, of course, we have a delay of some payments. But these are the two drivers determining the free cash flow generation in '26. The exact CapEx indication, it's too early, but let me say in the second half of this year, then we come for our guidance for '26 when we clearly see what will be the final outcome in 2025. Regarding long-term sustainable CapEx, when you look now on the numbers on in the presentation on I don't know the slide number where I show the bridge coming from the net debt '23 to the net debt in '24, you have, let me say, a proven track record looking on CapEx for Brazil and Greece. For 16 airports, we are spending EUR50 million for maintenance. This is a good number. And when you look on other CapEx, mostly Frankfurt, the EUR449 million. If you put altogether, we are talking about $500 million which is a good indication having also in mind that in these $449 million we are talking in investments in infrastructure in Frankfurt, we are also talking in investments in some investments in cars, equipment, et cetera. And when I'm going to mention equipment, this is also equipment for Terminal 3 like for example office furniture, et cetera, IT equipment, which is more or less a one-off. So the CapEx for Germany we say [Foreign Language] but I don't know the translation in English. For equipment, it's in the moment higher than in the future. So from today's perspective, I would say, the EUR500 million is a very conservative indication for all including maintenance CapEx for all group airports looking forward. And if you already deduct the EUR1.2 billion for T3 and for Lima CapEx based just on the numbers from '24. As you see already, it's a strong free cash flow generation in a year where the EBITDA is on a level of EUR1.3 billion as you know also our long-term target. So this is then the leverage to achieve a free cash flow generation, which is higher than this, what we would have shown already in '24 without expansion CapEx.
Stefan Schulte: Further questions have been on the additional operational costs on Terminal 3. Now that's a year in between next year because on the one side Terminal 2 is still open for half a year at least and Terminal 3 has to be prepared already now because we already now have to hire some people. So in general terms, overall segments, I would say, it's roughly 200 people, which we have to hire for fire brigade, for operations, for IT and which is not saying that we need those 200 people long-term, but for the in between time at least, long-term probably 100 people more, but on the other side, we have very good results from tenders on the maintenance side, what we do with external companies. So, yes, we can give you probably after we have opened up Terminals we have better estimate what are the long-term aspects on this on the other side of the world and have higher retail earnings. So there is some additional costs in for next year, that's right. And we hire those people already now. On the other side, it's included already in the guidance we gave you. So there's no big downturn. Regarding the long-term ratio, you asked on debt to equity, what's our focus? If I got your question correct, yes, we have at the moment a leverage of 160% net debt to equity. We clearly mentioned that we want to bring this down. It's one guidance. Now, there's not the one figure, but we gave you the indication that net debt to EBITDA should be closer in the long-term at least to the number five, it's now 6.4. And it means on the other side also that net debt to equity should be the range of, you name it, 80% to 120%. It depends very much how the macro conditions are. One thing is clear for the next years and I would say at least the next three, four years, there's no big appetite no big appetite on external growth by external acquisitions. If at all, then these are smaller projects or structural projects. And as Matthias mentioned already, we are very strict on CapEx and try to keep it down as much as possible.
Cristian Nedelcu: And thank you very much. I'm sorry, will you pay any dividends before you get to that 80% to 120% debt to equity?
Stefan Schulte: Yes, a clear answer. Yes, we will. But we have to get much closer. Let me answer the other way around. First, we have to be free cash flow positive. And as mentioned before, the probability to pay in 2026 for 2025 is a low one, but it's existing, if there's a lot of tailwinds, so a lot of tailwinds for the business. There would be a very good growth if we come out this year with very good results. And if we see that the business is really moving, especially also in Frankfurt, the international business, I'm quite optimistic on, but especially on Frankfurt, that's a growth rates are really going up, that's new aircrafts are coming in and are operated in addition and not just replacing the old ones, that's a Lufthansa topic, then there could be that we even pay a dividend in '26, but it would be a low dividend compared to the range of 40%, 60%, which is a normal one. For '27 in '27 for the year 2026, I'm absolutely convinced that we will pay a dividend, but that has to be decided at that time in two years from now. So we will have discussions on this. We have already discussions on this and we'll see how the business is running this year. But we are not waiting to achieve finally the 5% or the 100% or 120% or something like this.
Operator: Then the next question comes from Elodie Rall from JPMorgan. Please go ahead.
Elodie Rall: Hi. Good afternoon. Thanks for taking my questions. I'll have two. The first one is on the outlook for traffic. So you gave us a bit of an update on Lufthansa capacity issues as well as the constraints that you're facing from the German government on tax and regulation for hurting the aviation industry. So I was wondering, first of all, if you are having any conversation with anyone from the new government, although that I know it's still a bigger moving path there, but if they have a more constructive attitude towards aviation in Germany and if the outlook is looking more positive for traffic in 2026 as a result. And when you think you can be back to 2019 level? So that's my first question. And the second question is on ground handling. So, obviously, disappointing again negative in '25 still expected. Do you think it can be turning positive from 2026? Thanks.
Stefan Schulte: Thank you for your questions. On Lufthansa capacity issues, so your question was more on the government relations, we are all together, whether it's Lufthansa, whether it's we, whether it's German Association on airports, on airlines or on aviation in general. We all have the same position and we had good discussions with the two parties who probably will form the next government, that means the CDU and the SPD and they all understand the issue. They understand that the tax, the aviation tax plus the other components, especially on ATC, of course, the sharp increase over there, that this is too high and that they would have to resolve it. So the signals are very good, but on the other hand, I also have to say, it's not signed, it's not a done deal. They are now in the coalition discussions and the coalition contract negotiations. So we have to stay on this topic and we can give you an update then probably on the May call for the first quarter to see whether it's in the coalition contract because there we have to get it in, that's most important. And it's not just because of Frankfurt Airport or because of Lufthansa, it's in general, also the competitiveness of the aviation market, Germany for the German export oriented companies and so on because we are losing more and more direct connections into the world. And that's really an important issue for German industry in general. So, yes, I'm slightly optimistic and I'm probably more than 50% probability that I would say, yes, something will happen, but it's not a done deal. That's absolutely clear. We are now 22% worse or negative compared to other European markets on the recovery compared to 2019. So Frankfurt is on 87%, German average is on 83%. That we come back to the 2019 levels of pre-Corona levels that will not be possible in one or two years, because we also have to handle that growth, which hopefully is coming then, but it will take at least three, four years minimum to achieve these levels. But I'm quite optimistic that there is a chance if the German aviation tax is taken away, if canceled, if we get positive signals and sorry to say this, but the greens are not for sure, not any longer a member of the next coalitions that's for us in this industry positive. The SPD and the CDU are much more positive related to aviation, they see this point. So that's at least a lot of tailwinds that's positive. And it's a new aircraft, I mentioned the signals you also got from the press conference of Lufthansa that they are coming at least on the 787. Some went second half. That's also a positive message and hopefully that we'll get it through. So there are some positive signals that we see should see much better 2026 and '27 with higher growth rates. On ground handling, for the moment, we are working there on productivity measurements. We are working along the company on productivity topics, on programs, on projects, but especially on ground handling, the most important thing is in the negotiation of the new contract with Lufthansa and you will not find it in the numbers before the year 2027. Okay.
Elodie Rall: Great. Thanks very much.
Operator: Then the next question comes from Carlos Caburrasi from Kepler Cheuvreux. Please go ahead.
Carlos Caburrasi: Hello, everyone. Thank you for the presentation and for taking my questions. Two quick ones from me. First, I'm considering the restructure investments program. I was wondering if you could give us a hint in terms of CapEx per annum for the rest of the decade. And the second, which is actually related to the first one, did you expect a meaningful impact from the lower near-term CapEx on your 2030 free cash flow target? I leave it there. Thank you.
Stefan Schulte: As I mentioned, we have two steps looking forward. In this year 1.1 or even lower in '26, a clearly reduced number compared to '25. And again in the second half of this year, we will give you a clearer guidance what will happen exactly with CapEx in '26. And looking forward, you see maintenance CapEx, I already explained about EUR500 million for the group level, which is a good indication including all 30 assets which we have today. And this is determining, let me say, the long-term base CapEx. We have no intention to go for big acquisitions at the moment. And I think this is the best guidance as of today, what will happen in 2030. Frankly, spoken to give you today an exact guidance, but 2030, this is not serious.
Carlos Caburrasi: Understood. Thank you.
Operator: And the next question comes from Andrew Lobbenberg from Barclays. Please go ahead.
Andrew Lobbenberg: Hi, there. Can you just help me understand why the pickup in Porto Alegre in Brazil has been so slow? Because the January data looked very slow and it looks like the capacity is quite slow whilst Florianopolis for the Swiss continues to trade so well. So why hasn't the traffic flowed back more promptly to Porto Alegre? And I thought earlier last year, you were very confident that you would get full compensation for the closure impact of Porto Alegre and yet that's not completely clear to me. So is there more compensation to come in the course of '25 for the closure of Porto Alegre in '24? And then just my one other question would be, what's going on in the ground handling market with the competitor? Did Swissport finally get themselves up and running? Are they running smoothly and previously you said that given the challenges to the ground handling market, notwithstanding clearly the uneconomic contract with Lufti from your perspective, you are quite keen to hand over contracts to the competitor to reduce your exposure to ground handling. Has anything happened to lose other contracts apart from Lufti?
Stefan Schulte: Let me start with Porto Alegre. The indications we get from the market, we get also from our product company in Brazil are very positive from Porto Alegre and that is still a little bit slower yet at the beginning now, beginning of this year, the next month. That's just because the airlines have to restore the capacities, have to change aircrafts, which are flying from other destinations back to Porto Alegre. They have to market those initiatives, but they will come and the signals we know are very positive even supported by the state of Rio Grande do Sul. So there I'm quite optimistic. Full compensation, yes, we get a full compensation probably what we should have discussed more in detail that there have been restructurings on faults, which have been known in the infrastructure of EUR10 million, EUR15 million I think was the number, which are not due to the flooding, which have been known before that we have to do it, which we have done now in that big program together and that we, of course, get no compensation on. But that was a smaller number and we've got a compensation of more than EUR80 million, I think, something like this, I think, it's the number we invested including those thoughts. We knew that this has to be done over the next years, which we now did the total program roughly EUR100 million or EUR95 or something like this. On ground handling, here in Frankfurt, it was not our task at all to handle it with a third license as a tenant, but we cannot avoid if more and more airlines wanted to be handled by Fraport Ground Services. So the market share even went up some because of the subcontracting solution, which was not our favor to do this way, but which is the case for the remaining months and for the next month in this year. And then we have to see how the market share is developing, but it was not our task to increase the market share, it was a topic by the airline that they wanted to be handled by Fraport or Fraport Ground Services on the one side and the Swissport on the other side was not be able to handle them. So it could be an interim and we have to see how it goes ahead then.
Andrew Lobbenberg: Okay. Thanks.
Operator: The next question comes from Dario Maglione from BNP Paribas. Please go ahead.
Dario Maglione: Hi. Three questions from me. One on free cash flow for 2025. I mean you mentioned it's going to be close to breakeven. How close is my first question? Second question on CapEx for Frankfurt. You mentioned before the maintenance CapEx for the group at EUR500 million. But also I think you mentioned before that for Frankfurt specifically, the maintenance CapEx will be around EUR350 million per year. However, as you're now guiding for 2025, it's EUR400 million. So my question is what is the maintenance CapEx for Frankfurt specifically? And the last question on ground handling. Just big picture has been loss making for five years and it won't be will not be breakeven on EBITDA level next year. So why not exit in this business or divestiture? Thanks.
Matthias Zieschang: Let's start with CapEx and let's focus on Slide number 13, where you can see also metrics of calculation for '25. What is a given and what are the variables? A given are the net interest elements, because gross debt is given, interest rates are given, taxes are more or less given. So the minus EUR400 million is a given and is not a variable. Also the IFRS 16 items as well as a fixed concession payments are given. So we have minus EUR400 million which is not variable, we have minus EUR100 million which is not variable and also the inflow of dividends of about EUR100 million of cost depends from the operational success or performance, but I think there's a very high probability that we are going to receive EUR100 million. So three elements on the picture are not variable. What is variable? A little bit on the EBITDA side, depending from traffic, whether it's a little bit better and lower. Second, it's always extremely difficult to have a precise calculation what is the outflow for CapEx. So EUR50 million plus minus is always a natural, let me say, white noise, so to say, can be a little bit higher and a little lower. Again, our target is to come out with a number which is below EUR1.1 billion. And then you also see on the slide, net working capital changes. This is not principal hope. We know already now some items, what is it, refund of VAT, et cetera, outside Germany. So we know that some elements are running in favor of us, so that the net working capital runs positive and this we have included. Nevertheless, you see always regarding CapEx, plus minus EUR50 million regarding net working capital changes, plus minus EUR30 million and always regarding the final number of EBITDA, which is driven and generated by passenger numbers, some uncertainty. But you see on the picture, it's very close. It can, at the end of the day, with some tailwind, it can even breakeven, what would be our favorite, but it can also be that in a double-digit number, we are below breakeven. But important is looking forward, we are extremely close to breakeven or even will touch it. But very important is that the year after in '26, we will show you positive free cash flow as already since years ago guided looking ahead. Maintenance CapEx, again, I told you and explained the EUR500 million which includes also CapEx for IT, for equipment, et cetera. We have always some volatility behind this number. You cannot say we are talking about 30 assets in our portfolio, and nobody in the world can say with the exact EUR483 million maintenance CapEx, you have always some things which pop up overnight or other things which do not happen or will be delayed. But in your metrics, in your calculation, your excel sheets, if you work with a EUR500 million number looking forward, you have a very good base number.
Stefan Schulte: Regarding ground handling, the most important issue there is the 2018 signed contract, I think it was 2018, a long-term contract with Lufthansa and Lufthansa Group, which includes some price increases, but they are very limited and the growth thereafter after Corona and so on changed, staff cost increase much higher than the price increase we have in that contract and that's the main reason for the losses in that segment. Combined with a peak structure, which is already above 2019 limit, 2019 structure of the traffic, so very high peaks and that gives some unproductivity and combined with the topics that we all together have the challenge that ATC capacity leads to in Europe, not in Germany, but in Europe in general, including Germany leads to a high delays by ATC because a lot of regulated slots and that means that the ground handling people are long on the aircraft that they should be. And that's in a mixture that we are fixed in with this contract with Lufthansa. Of course, you could say, but that would be the wrong timing to say something like this. And we mentioned already before that we have to go into the negotiations because the contract with Lufthansa is running out 2026 and we'll start that negotiation somewhere over the next 12 months, I'm quite sure. And thereafter, you can think about the topic, but even then you should take into account and that's the reason we're in that ground handling. I'm not saying with that back share, but that we're in the ground handling business because we have a very, very high portion, much higher than other airports on transfer passengers. And we need a high stability on the ground operations and that's running in a very, very good way. That's absolutely fine from the stabilization point of view. So there are no delays any longer by ground handling, that's not the issue. But our second important point is to bring out the financial spec and for that we have to have some negotiations with Lufthansa and then thereafter we can take questions like you, but for the next two, three years that would not be a solution on that side.
Dario Maglione: Thank you.
Operator: [Operator Instructions] And the next question comes from Christian Cohrs from Warburg Research. Please go ahead.
Christian Cohrs: Yes, hello. Good afternoon. Thanks for taking my questions. Sorry to come back on the ground handling issue, but looking into your financial history, even before 2018, the financial performance of this division was muted. So is there any chance or do you see any chance for a sustained improvement that will allow a return on the Fraport asset that is exceeding the WACC. So far as I can look into your financial history, this has never been the case. And, yes, and are there any things how you could improve your pricing power in this specific business field? And second question relates to St. Petersburg. If I remember correctly, your investment into St. Petersburg comprised an equity stake, but also I think you have given some loans. So now you have sold your stake. Are the loans still outstanding? And is there any chance for these to recover? Thank you.
Stefan Schulte: Yes. Thanks for both questions, Christian. You're absolutely right regarding ground handling, whether we exceed the WACC, that's, of course, an ambitious question. But even if Lufthansa is in, in that call, I don't know. I can be absolutely clearly, our ambition is to write black numbers. And we are preparing for this, and that's no question at all. We have to write black numbers. So we have to make profit in ground handling, and that's no question at all. And, yes, if I get sometimes a signal, somebody asked me today that Lufthansa is on the way to do to prepare themselves for safe handling, fine, then they should do it. I'm absolutely fine. With this, I can just tell you, we go for black numbers and we go for profit. And sorry, I understand that the top customer has to survive and so on. They have to do their business. We have to do our business. That's absolutely fine. And we bring very good quality. And so, yes, the negotiations will be difficult, but that's our responsibility to be prepared for those negotiations, and we will be prepared for these negotiations.
Matthias Zieschang: It's not just Lufthansa, we have also the central infrastructure in the segment, which covers 50% of the revenues. And here in this year, we are going to increase the prices by 7.8%, and there's headroom for '26 to do the same or even a little bit higher. So this is not, let me say, the compensation for Lufthansa, but one segment, which covers 50% of the revenue, more than EUR300 million with then a price impact already in this year, 7.8%. And next year, if it is, for example, 9.5%. You can see that we are talking about EUR30 million just price increase regarding 50% of the total revenue of the segment.
Stefan Schulte: So on ground handling just to add, that we have 90 airlines here in Frankfurt and with all other 89 airlines or yes we have to take Lufthansa as a group, but all other airlines which are not belonging to the Lufthansa Group, we achieved really high price increases because the costs are so much running on the staff side and these price increases with those airlines have been much more than 10%, much more, much higher. And that's working, and they understand this. And I'm quite sure that also Lufthansa understands what they get as the quality and that they will pay for this. Regarding St. Petersburg, everything is sold on that side, equity and loans. So they were not coming in anything else. And the return on the St. Petersburg exposure has been a single-digit return CRG number, so roughly around 5%, 6% in total over the years.
Christian Cohrs: Okay. Thank you.
Operator: Then the next question comes from Marcin Wojtal from Bank of America. Please go ahead.
Marcin Wojtal: Yes. Good afternoon. Thank you so much for taking my questions. I have a couple of questions on Terminal 2, if you allow me. Firstly, could you just remind us what is the latest regarding the upgrade and the refurbishment of the Terminal? What is the total CapEx that will be allocated to it? And when you mentioned EUR500 million group CapEx medium term, do you already include the refurbishment of Terminal 2, just to clarify. My second question, can you just confirm that Terminal 2 will remain included in your regulated asset base during the refurbishment? Thank you.
Matthias Zieschang: First of all, a clear answer, T2 will stay in the regulated asset base because we will take it again into operation in the future. When T3 is opened based on a staggered approach and all our process, then in the second half of '26, we are going temporarily to close Terminal 2. We are going into a long-lasting planning phase to be very precise what to do in the total refurbishment of the Terminal. We have time because we have this T3, we have more or less twice as much capacity compared with Terminal 2. And we have to see when we are going to start with the refurbishment with Terminal 2. But we have a lot of time looking forward. And then we have also after the planning phase, we have a precise amount what will be invested. This will spread over, I would say, 10 years, up to 10 years. And this will not significant of course, there can be then in some individual year. It can be more than the EUR500 million. This is for sure. But overall, it's not a number which changed this baseline.
Marcin Wojtal: Okay. Thank you.
Operator: Then the next question comes from Jose Manuel Arroyas from Santander. Please go ahead.
Jose Arroyas: Thank you. Good afternoon. I have three questions. In relation to Terminal 3, you said earlier that there was always some risk of CapEx overrun and that materialize in 2024. Could you tell us what happened this year? And what gives you confidence that any such thing will not happen in the coming years? My second question is on the Terminal 1 Concourse B project. I missed your explanation as to why you stopped it. Could you tell us also what Fraport misses by not having this project ready? And my last question is on Slide 9, where you guide on the uplift to retail revenues that Terminal 3 will provide. You mentioned EUR30 million incremental revenues coming from Terminal 3 compared to Terminal 2. But on the slide, you mentioned that, that figure includes also your expectation that traffic will be higher. Could you isolate that uplift assuming traffic remains constant? Thank you.
Stefan Schulte: Let me start on Terminal 1, yes, you are right, and we mentioned this, that we stopped the security relocation more to the land side because it's a very expensive project. It takes several years to get through. That means that we would have seen in Terminal 1 over the next at least five years, constant constructions. And for that, we thought that at the moment, the benefit is not big enough. We should more focus on CT scanners and most efficient processes. That's the main topic. There are some other topics around processes, how processes would have been changed and how long ways would have got if we would have realized this now. So we say, no, we take more time for this. And that's the reason that for the time being, we stopped that project on Terminal 1. But nevertheless, we are very much on customer focus, and that's the reason we'll bring in there in the existing environment, we will change it to CT scanners and with a much higher capacity. On Terminal 3, the main reason is, yes, the cost overrun we indicated already and Matthias mentioned will be more on the EUR200 million side. But all CapEx is done, all tenders are done. As I mentioned, the construction is through and everything is done on that side. We are now really in the final jobs on all interior measurements or cabling and so on. So there could be, of course, some smaller acceleration jobs or something like this. But from the CapEx point of view, there shouldn't be a big topic any longer. So we never discuss on such a big project whether there are an additional EUR10 million or EUR20 million. But in principle, we are through there, and that's the reason we are confident that we know what the number finally will be. On Terminal 2 and regarding Terminal 3, we don't give spend per passenger per terminal. What we can tell you is that we have 50% in addition floors and for sure also square meters and for sure also spend Terminal 3, if I compare directly with Terminal 2, but it's not helping you very much, I know because we are not giving any spend per passenger number for Terminal 2 or for Terminal 3 and for Terminal 1. I can just tell you that the location of retail and gastro food and beverage is much better with a centralized marketplace in Terminal 3 and that we see expect a heavy upgrade uplift there also on that spend, which will be on group numbers in total, of course, smaller, but with a plus 50%, what we expect Terminal 3 to Terminal 3 in a full year range 2027, you will see also an increase in the average number in total.
Operator: Then the next question comes from Graham Hunt from Jefferies. Please go ahead.
Graham Hunt: Thank you. Actually, just one for me. I just wanted to come back to dividend. How are you thinking about that from 2026 or 2027 whenever it does come through. I think you did speak earlier on the payout policy historically. But given the step down in CapEx and significant step up in free cash flow, plus if you didn't pay one in 2026, would there not be scope to see a meaningful increase in the payout policy versus what you've done historically? Just wanted to hear your thoughts on how you're thinking about that when you do start paying a dividend. Thanks.
Matthias Zieschang: What we gave you as an indication is that for the year 2025, we expect free cash flow breakeven, maybe slightly negative, but around breakeven. That means if we would pay a dividend in the year 2026 for the full year 2025, it would be paid out of debt. That would mean that we would, if at all, pay a smaller dividend, not in the range of 40% to 60%. And that's not decided, and it depends very much on whether we have a lot of tailwinds then. That we see that really new aircrafts are coming in, that the aviation tax is taken out and that we see that business is really getting up also in Frankfurt and Germany in general is much more positive seen as it now as it is these days. If we start paying in 2027 for the year 2026, I would expect that the dividend payment would be in the range, the historical range of 40% to 60%. But also to be absolutely clear, that's finally a decision we have then to take and that's taken also by the Supervisory Board and then finally by the annual meeting, but that would be probably our recommendation from today's point of view, let's see how the world then is.
Graham Hunt: Okay. Thanks.
Matthias Zieschang: Thanks.
Operator: The next question comes from Nicolas Mora from Morgan Stanley. Please go ahead.
Nicolas Mora: Yes, good afternoon. Just two quick ones. You mentioned that into 2026, you don't really see much EBITDA growth. I'm a little surprised because I think you've already guided for around 4% traffic growth that year. You've got also tariff increase. You've got ground handling getting better. You should get at least for half a year, a bit of uplift on retail. Do you think most of that is offset by higher costs? That's what you're trying to flag. That's point number one. And then point number two, just coming back on the retail upside for Terminal 3. I think like Jose Manuel, I'm a little bit taken back. I think you've said on previous conference calls, T2 was around EUR2 per pax. What you're flagging is a 50% increase on that. So EUR3 per pax spending for T3, that's still below the average. That looks spectacularly low. So just wanted to know if you could clarify a little bit there. Thank you.
Matthias Zieschang: First of all, our guidance is not modest. We said it's a moderate single-digit increase. And so it's a lot of fantasy how it could be and this depends really from the tailwind coming from the traffic. But again single-digit times EUR1.3 billion, the fantasy is big. So this is one side. And on the other side, there's one elephant in the room, let me say, a variable which we cannot control, and this is a wage increase. And in the moment, there are negotiations with the unions, Verdi regarding the [indiscernible] this is wage agreement is absolutely open, and we don't know what will be the outcome. We are not negotiating. This is the Ministry of Inner Affairs is responsible in cooperation with the federal states in Germany. And just to give you a number, 1% wage increase equals EUR10 million in our P&L. And this makes it so difficult to give you want to have a precise guidance for the year '25. If you are going to tell me what is the outcome of the wage increase, I tell you exactly what is our EBITDA outcome. So is it 4%, 5%, 6%, nobody knows. And you see a variance, again, EUR 10 million per 1% increase. And that's the reason why it is so difficult to have a precise outlook, and that's the reason why we say a single-digit increase can be high, can be low, more or less depending from passenger growth on one side, which we cannot control in Frankfurt and second, the outcome of the wage negotiations. Now in the moment, let me say, between Verdi on one side and the federal states and the Ministry of Inner Affairs on the other side. And also retail, I think 50% increase is it's the same story. We are going to tell you that the increase will be 50%, and this is a good number, but exactly nobody knows. We have more space. We have nice restaurants. We have fantastic shops. But whether it's 50%, 60%, 40% or even 70%, we have to see. But I think it's a good indication, and it doesn't make any sense to promise a high number, which at the end of the day cannot be controlled by us, but the spending behavior and the deep pockets or not deep pockets of the passengers.
Nicolas Mora: Thank you. If I may the comment on EBITDA was more into 2026. I think it's Matthias who hinted that when talking about breakeven free cash flow, it did not expect much EBITDA growth in that year. I was just wondering, what were the offsets? Yes.
Stefan Schulte: 2026, that's a year when Terminal 2 is getting out of operation. Terminal 3 is getting into operation where this additional cost, as I mentioned already, is because of the additional OpEx and so on. And what Matthias mentioned, what we have seen yesterday from the wage agreement from the negotiations, the employees, so the Ministry offered 5.5%. I don't know whether this is on 12 months or whether this is on which period ever, and they couldn't agree. So it's in a brake situation. So the result will be more than 5.5%, but hopefully then for a longer period. And in 2026, we will have the full impact on that. And then it's a question of whether we get a stronger traffic growth, yes or no. So the additional aircraft are then really in is Pratt & Whitney getting that issue a little bit less. And these are the components which are a little bit too early at the moment, why we mentioned, yes, probably it's more moderate growth, whatever moderate is absolutely in line with Matthias, whatever you discussed in between 2% to 5% is moderate for me. But 5% or 1.3% or 1.4% is already a lot.
Nicolas Mora: All right. Thank you.
Operator: And we do have a follow-up question from Cristian Nedelcu from UBS. Please go ahead.
Cristian Nedelcu: Thank you very much for allowing me to add. The Terminal 3 remaining CapEx, your table in the appendix is very helpful. But could you remind us, you already guided for '25, but could you give us a bit '26, '27, what's the remaining CapEx there, just to confirm? And secondly, in your annual report, you talk about the potential risk of CapEx, EUR300 million for the drainage of the runway in Frankfurt. I think you allocate a probability of 25% to 50% at some point, this may come through. So if the water authority company would trigger this CapEx, would this be on top of the EUR500 million run rate you discussed earlier or it's already included in that run rate? Any more color there would help. Thank you.
Stefan Schulte: Let me take the second answer first. The second question is answering this first. That potential risk you will find in our annual report already for 5 to 10 years, I would say, maybe even longer. Sometimes, yes, we have to realize some smaller issues. So EUR300 million is the total gross number. If it would come in, it would be my best estimate over several years. So it would be included in that number. It's not the one-off which you have to invest it in one year. It would be a long-term investment and spread it over a lot of years. So that's not an issue for you, but we have to mention those risks. It could happen. That depends very much how is the condition on the water and all the winter fluids there the composition of the water and so on, de-icing, and so on. At the moment, it's getting better. So the risk is for sure less, but we have to see how the next winters are.
Matthias Zieschang: And your question regarding further outflows for Terminal 3, you know from '25, which you can see in our presentation, is up to about EUR400 million in this year. And in '26, what is the final number than in '25. But as of today, I would say about EUR250 million and then a very small amount remaining in '27. If you put all the numbers together also accumulated from the past, then you end up with EUR4.2 billion, maximum of EUR4.3 billion. This is what we already guided years ago, EUR4 billion plus EUR200 million cost overrun, which today is a given. And we will end up exactly this including the EUR200 million cost overrun.
Cristian Nedelcu: Thank you very much. Thank you.
Operator: Ladies and gentlemen, this was the last question. I would now like to turn the conference back over to Christoph Nanke for any closing remarks.
Christoph Nanke: Thank you and thank you all for your participation, for your interesting questions. We in Investor Relations are looking forward to continue our talks in the next days and weeks, phone calls, meetings, and conferences. I wish you a good rest of the day. And, yes, happy to see you soon. Bye.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.